Operator: Hello, everyone. And welcome to the Xenia Hotels & Resorts, Inc. Q3 2023 Earnings Conference Call. My name is Charlie and I'll be coordinating the call today. [Operator Instructions] I will now hand over to our host, Amanda Bryant, Vice President of Finance to begin. Amanda, please go ahead.
Amanda Bryant: Thank you, Charlie and welcome to Xenia Hotels & Resorts third quarter 2023 earnings call and webcast. I'm here with Marcel Verbaas, our Chair and Chief Executive Officer; Barry Bloom, our President and Chief Operating Officer; and Atish Shah, our Executive Vice President and Chief Financial Officer. Marcel will begin with a discussion on our performance. Barry will follow with more details on operating trends and capital expenditure projects, and Atish will conclude today's remarks on our balance sheet and outlook. We will then open the call for Q&A. Before we get started, let me remind everyone that certain statements made on this call are not historical facts and are considered forward-looking statements. These statements are subject to numerous risks and uncertainties, as described in our annual report on Form 10-K and other SEC filings and could cause our actual results to differ materially from those expressed in or implied by our comments. Forward-looking statements in the earnings release that we issued yesterday, along with the comments on this call, are made only as of today November 1, 2023 and we undertake no obligation to publicly update any of these forward-looking statements as actual events unfold. You can find reconciliations of non-GAAP financial measures to net loss and definitions of certain items referred to in our remarks in the earnings release, which is available on the Investor Relations section of our website. The third quarter 2023 property-level information we will be speaking about today is on a same-property basis for all 32 hotels, unless specified otherwise. An archive of this call will be available on our website for 90 days. I will now turn it over to Marcel to get started.
Marcel Verbaas: Thanks, Amanda. And good morning, everyone. Overall results in the third quarter were in line with our expectations. Our demand segmentation mix continues to revert towards pre-pandemic levels, as business transient and group demand continues to recover. A couple of important renovation projects have essentially wrapped up and the transformation of the Hyatt Regency Scottsdale Resort & Spa at Gainey Ranch is well underway. And our recently acquired hotels W Nashville and Hyatt Regency Portland at the Oregon Convention Center reported a solid quarter of earnings contribution, as they were among our top-performing assets during the third quarter. For the quarter, we reported a net loss of $8.5 million, adjusted EBITDAre $46.3 million, and adjusted FFO per share was $0.26. Same-property RevPAR in the quarter was $158.48, a 0.4% increase, as compared to the third quarter of 2022. Occupancy increased 70 basis points, while average daily rate decreased 0.6%. Our results were meaningfully impacted by three of our properties undergoing significant renovations in the quarter. This included the comprehensive renovation at Kimpton Hotel Monaco Salt Lake City, the guestrooms renovation at Grand Bohemian Hotel Orlando, and the transformative renovation at Hyatt Regency Scottsdale. As Barry will discuss in more detail in his remarks, the Salt Lake City renovation has now been completed. The Orlando project will be completed in the next several days. And the Scottsdale project is progressing as planned. Excluding Hyatt Regency Scottsdale, RevPAR increased 4%, as compared to the third quarter of 2022, highlighting the impact this project had on our results in the third quarter, and we'll continue to have in the near term, as compared to the third quarter of 2019 for the 29 hotels we currently own that were open at that time, excluding Hyatt Regency Scottsdale, RevPAR was down 1.1% in the third quarter. For these 29 hotels, occupancy was, roughly, 11 points below 2019, while ADR was up 14.3%. While expense growth continues to put pressure on bottom-line results in the lodging industry, margin contraction for our portfolio moderated in the third quarter. That's hotel EBITDA margin on a same-property basis, declined by 169 basis points, compared to the third quarter of 2022, which was in line with our expectations. Excluding Scottsdale, margins contracted just 60 basis points, which is a significant improvement, compared to the second-quarter margin decline. Recall that property-level expenses in the third quarter of last year started normalizing, as many of our properties filled open positions and resumed services, as the year progresses. Turning to our individual markets, in the third quarter the strongest RevPAR growth occurred in several markets, that are more dependent on business transient and group demand. Houston, Dallas, Portland and Nashville reported double-digit RevPAR growth, while Pittsburgh and San Francisco experienced high single-digit RevPAR growth. Due to renovation disruption, Phoenix and Salt Lake City were our two weakest RevPAR markets in the quarter. While several leisure-oriented markets, including Napa and Savannah, experienced mid-teen percentage RevPAR declines. We are clearly seeing signs of leisure demand normalizing from its historically high post-pandemic levels, both within our portfolio and in overall industry data. However, our portfolio has always benefited from a balanced mix of group, business transient and leisure demand. And we are continuing to see the gradual shift back to our pre-pandemic segmentation mix. Group business remains a bright spot. Group room revenue in the third quarter was up a little over 3% over the third quarter of 2022. And excluding Scottsdale in both periods, our group room revenue was up about 9%. We continue to see meaningful improvements in group business at our important group-oriented hotels in Orlando, Portland, Atlanta, and Dallas. By way of reminder, we estimate the group has historically been about a third of our overall business mix. Group revenue base for full year 2023 is up about 13% versus last year for our same-property portfolio, and up about 16%, if we exclude Scottsdale, where the meeting space is now mostly unavailable. Group ADR for the full year 2023 is up about 4%, again excluding Scottsdale. Atish will provide an early look into our 2024 group base during his remarks. Business transient demand continues to improve during the third quarter. Overall, occupancy improved on Mondays, Tuesdays and Wednesdays, as compared to the third quarter of 2022, while weekend occupancy was down slightly, as compared to the same quarter last year. Two of our four strongest RevPAR growth markets reflected results from our most recent acquisitions, Hyatt Regency Portland at the Oregon Convention Center and W Nashville, with RevPAR increasing by 26.8% and 17.3%, respectively, at these hotels for the quarter. Both properties are benefiting from significant growth in group business, as they continue on our path towards stabilization. For 2023, group room revenue on the books at both properties has increased by more than 40% over 2022 levels, driven by solid increases in room nights. Business transient production is also driving growth, as both properties increased volumes with important corporate accounts in recent months. Our other top-performing markets for the quarter were both located in Texas, where the Houston and Dallas markets reported third-quarter RevPAR growth of 25.2% and 14.2%, respectively. Our hotels in these markets, not only drove outstanding third-quarter results, but they are also well-positioned to capture additional growth in the coming years because of favorable market dynamics and important capital investment base in recent years. Overall market fundamentals reflect the favorable supply and demand backdrop. Texas continues to be a high-growth state, both in terms of population growth and business incubation and relocations. Supply growth through 2025 in our specific sub-markets is also benign. The Dallas CBD sub-market is expected to peak at 2.3%, the Houston Woodlands sub-market at 2.7%, and the Houston Galleria sub-market is expected to see no new supply over the next two years. In terms of earnings contribution, our Houston properties peaked in 2015, and since that time has successfully broadened their base of business and reduced reliance on city-wide conventions. We also invested a significant amount of capital into our three Houston hotels, leading up to and through the pandemic. The two western received about $50 million in capital, mostly by renovating and upgrading guest-facing areas. And in 2020 and 2022, we invested, approximately, $12 million in additional capital expenditures at Marriott Woodlands, primarily on significant improvements the guestrooms and guest bathrooms. We are pleased to see the benefits of these investments, as the market continues its recovery from the pandemic, and as economic activity in the region continues to improve. And despite the significant capital expenditure we have made into these hotels during our ownership period, our overall investment basis of, approximately, $360,000 per key, on average for the three hotels, remains attractive, especially given their excellent locations, high quality and extensive meeting facilities and supporting amenities. I would now like to turn to our Scottsdale project. As I mentioned earlier, this transformational renovation is progressing as planned, from a schedule and cost perspective. While the disruption to our short-term results is significant, this disruption also continues to be in line with our expectations. As we anticipated, demand in the Phoenix, Scottsdale market has softened a bit this year, particularly after a very strong first quarter that was aided by the Super Bowl in early February. The market is experiencing similar signs of moderating leisure demand that we are witnessing in other markets. As we indicated when we initially announced this transformational renovation, our strategy revolves around further optimizing the demand segmentation mix of the resort, and being able to drive greater and higher-rated group business. We also are aiming to create and upgrade the experience that will allow the resorts to compete more effectively within its luxury competitive set for higher-rated corporate, transient and leisure demand. This competitive set includes a number of resorts that have also received significant capital investments in recent years. The expansion of our meeting space, the significant upgrades through our pool complex, the relaunching and revitalization of our food and beverage amenities, the substantial investment in our upgraded rooms products, and the ultimate branding to a Grand Hyatt Resort are all important components of this transformation. When we initially discussed this project, we indicated that we believe that the record 2022 results at the resorts were driven by an unusually high level of post-pandemic domestic leisure demand, as well as expenses that were well below normalized levels. We also spoke about view in 2019, as a more normalized year, both from a demand segmentation perspective and earnings base for the property. Given the resorts aging facilities and an expected normalization of leisure demand in the U.S. overall in the Phoenix Scottsdale market in particular, we completed an extensive analysis of long-term supply and demand trends, the competitive landscape, and the challenges and opportunities that the resort presented. Everything we are seeing in the market this year has further increased our confidence in the decision we made to commence this transformative renovation and upbranding to a Grand Hyatt, from both a scope a timing perspective. The Phoenix Scottsdale market continues to be very attractive for all segments of hotel demand, which will be bolstered by the expected economic and population growth in the markets in the years and decades ahead. With a well-located and upgraded and expanded Grand Hyatt Resort, we believe we will be able to compete very effectively in the Scottsdale luxury resort market. And as a result, we expect the resort to grow earnings significantly over both the 2019 pre-pandemic peak year and the outsized leisure-driven results we achieved in 2022. As a reminder, we have relatively low investment basis in the resort, and we will continue to do so after making this approximately $110 million additional investment. Our anticipated gross investment basis of less than $700,000 per key upon completion of the project is especially attractive, when compared to recent sales of comparable resorts. We remain extremely excited about the resort's future and continue to believe strongly that this project will be a meaningful driver for portfolio earnings growth in the years ahead. Despite a lot of economic and geopolitical uncertainty right now, the year has unfolded largely as expected, as it relates to our portfolio performance. While we have been impacted by substantial renovation disruption as anticipated, we are optimistic that our continued investments in our portfolio will drive attractive returns. Atish will provide additional details regarding our revised full-year 2023 outlook. We have slightly lowered the midpoint of our projected adjusted EBITDAre range to reflect the recent demand trends. However, we continue to believe that our portfolio is well-positioned to outperform in the years ahead, given its high quality, excellent locations, diversity of demand mix and recent and ongoing capital investments. I will now turn the call over to Barry, as he will provide more detail on our portfolio's performance and an update on our capital expenditure projects.
Barry Bloom: Thank you, Marcel. And good morning, everyone. As Marcel indicated in his remarks, the leading markets, in terms of RevPAR growth in the quarter, include many of our hotels that cater to group and business transient customers, supporting our view that the recovery has extended beyond leisure-oriented properties. As expected, results in the third quarter reflected renovation impact, along with challenging year-ago growth comparisons. The quarter began with occupancy of 63.7% in July, with an ADR of $245.01, resulting in RevPAR of $156.12, a 1.2% increase, compared to July 2022. August occupancy was 62.6% with an ADR of $237.23, resulting in RevPAR of $148.54, a 2.1% increase, compared to 2022. The strongest month of the quarter, as expected, was September with occupancy of 65% at an ADR of $263.51, resulting in RevPAR of $171.18. However, this represented a 1.9% decline to September 2022. Excluding Hyatt Regency Scottsdale, same-property RevPAR increased 4% in the quarter, as compared to the third quarter of 2021. Similar to last quarter, average daily rates at our same-property portfolio moderated in the third quarter, declined 0.6%, as compared to the third quarter of 2022, which has grown substantially over the third quarter of 2021. As expected, rate declines in some of our leisure-oriented hotels in the third quarter exceeded that of our same-property portfolio, as compared to the third quarter of 2022. However rates at these properties remain well below -- well above 2019 levels. For instance, rates in Key West, Napa and Savannah for, approximately, 26%, 21% and 12% above third quarter 2019 levels, respectively. Same-property occupancy for the third quarter improved by 70 basis points, compared to the third quarter of 2022. Most of this improvement was driven by higher mid-week occupancies, as weekend occupancies declined slightly, as compared to last year. Reflecting our commentary regarding further opportunity for recovery, particularly in the corporate segment for the 29 hotels we owned at the time and excluding Hyatt Regency Scottsdale, Monday to Thursdays are still down approximately 16% in occupancy from 2019 levels, while weekend occupancy are down, approximately, 11%. We are continuing to see rate growth due to compression, particularly on Tuesday and Wednesday nights, but are seeing some softening in rates on weekends. Business from the largest corporate accounts across our portfolio continues to improve year to date, and we estimate that room night demand is still down about 20% from 2019 levels. We continue to benefit from healthy group momentum with pace being driven by increases in both room nights and rate. Including our two most recent acquisitions, Hyatt Regency Portland and W Nashville but excluding Hyatt Regency Scottsdale, group room revenue on the books for full year 2023 is currently about 16% ahead of last year, and about 6% ahead of 2022 levels for the fourth quarter of 2023. We believe there is continued opportunity for further recovery and growth in group business, even as we close the gap to 2019. Our current group room revenue on the books for 2023 is about 3% behind 2019 levels, excluding Scottsdale in both periods. Now, switching gears to expenses and profit. Third quarter same-property hotel EBITDA was $51.2 million, a decrease of 7.9% on a total revenue decrease of 0.8%, compared to the third quarter 2022, resulting in 169 basis points of margin erosion. Excluding Hyatt Regency Scottsdale, margin declined by just 60 basis points. This decrease in hotel EBITDA margin in the third quarter was consistent with our expectations. The margin declines were moderate in the second half of the year, as we lap the lower staffing levels that were in place last year. Although rooms and food and beverage department margins decreased in the quarter, as compared to the third quarter of 2022, salaries and benefits stabilized and over time was significantly reduced, as staffing levels normalized. A&G expenses grew a little over 1%, compared to the prior year, and property operations and maintenance expenses declined by, approximately, 1%. Utility expenses grew by, approximately, 6%. Now turning to CapEx. During the third quarter, we invested $35.5 million in portfolio improvements, bringing our year-to-date total to $69.5 million;. In the third quarter, we continued guestroom renovations at the Grand Bohemian Hotel Orlando, which is expected to be completed in the next few days. Earlier in the year, we completed the comprehensive renovation of all public spaces, including meeting space, lobby, restaurant, bar, Starbucks, and the creation of a rooftop bar. At the Park Hyatt Aviara Resort, we completed a significant upgrade to the resort's fitness amenities and spa, which reopened as a branded Miraval Life in Balance Spa. And finally, at Kimpton Hotel Monaco Salt Lake City, we completed the comprehensive renovation of meeting space, lobby, restaurant, bar and guestrooms in the third quarter. The $110 million transformer renovation and upbranding of the 491-room Hyatt Regency Scottsdale is underway and proceeding as planned. Major components, including the meeting space expansion pool complex and guestrooms, have all been contracted in line with budget levels, and all phases remain on track to be completed by the end of 2024. Our expectation for total capital expenditures this year are now at a range of $120 million and $130 million, a reduction of $5 million the midpoint due to timing of deposits and cash flow. We are excited about the projects we have underway, and look forward to their completion. With that, I will turn the call over to Atish.
Atish Shah: Thanks, Barry. I will provide an update on our balance sheet and discuss our guidance. First on our balance sheet. At the end of the third quarter, our leverage ratio was about 4.7 times net debt to EBITDA. All of our debt is at fixed rates. The quarter-end interest rate was about 5.5%. And our next debt maturity is in August 2025. We continue to have a fully undrawn line of credit that, together with our unrestricted cash, reflected approximately $670 million of liquidity at quarter end. During the quarter, we bought back just over $5 million of our senior notes in the open market at, roughly, 1% below par. In addition, we continue to repurchase shares. Year-to-date through today, we've repurchased 6.5% of our outstanding shares, at an average price of $12.72 per share. We have, approximately, $73 million remaining on our Board repurchase authorization. We paid a $0.10 per share dividend in the third quarter on an annualized basis that reflects a yield of, approximately, 3.4% on our stock. It also reflects a payout ratio under 40% projected FAD, based on the midpoint of our FFO guidance. Second, I will turn to our full-year outlook. We have lowered our expectation for RevPAR growth by 50 basis points to 4.5% at the midpoint. While third-quarter results were in line with prior guidance, our revised outlook reflects tempered fourth quarter expectations. This reflects lower weekend demand than had been previously expected, as leisure demand continues to normalize. And it also reflects the continued improvement in business transient demand, albeit at a slightly more gradual pace than we had previously estimated. On a preliminary basis, we estimate October RevPAR declined 2.3% versus last year. Excluding Hyatt Regency Scottsdale, October RevPAR increased about 2.4% versus last year. The impact of the Scottsdale renovation on RevPAR was about 100 basis points higher in October than it was in the third quarter. As a reminder, October has historically been the most significant month of the quarter with nearly 50% of our fourth-quarter EBITDA earned during the month. As we look ahead to November and December, our pace is significantly impacted by the Scottsdale renovation. Transient room revenue pace for the two months is 2% lower than last year. Excluding Scottsdale transient pace is up 6%. As at the end of the third quarter, group room revenue pace for November and December was down about 4% versus last year. Again, excluding Scottsdale's pace for the two months was up 2%. As the hotel's EBITDA margins, we expect them to decline, approximately, 200 basis points during the fourth quarter, as compared to the fourth quarter of last year. Excluding Scottsdale, fourth-quarter margins are expected to be flat to slightly positive. As to adjusted EBITDAre, we have lowered the midpoint by $4 million to $250 million. Our adjusted FFO guidance of $167 million at the midpoint is $1 million lower than prior guidance. This is a result of the $4 million in lower expected adjusted EBITDAre, offset by slightly lower interest expense and slightly lower income tax expense. Our G&A expense guidance is unchanged. On a per-share basis, we expect an FFO of -- at $1.51 at the midpoint, which is $0.005 higher than prior guidance due to buybacks, since we last reported. Looking ahead to 2024, while it's still early, there are a few data points that we can offer for now. First, on our group outlook, as of the end of the third quarter, we had about 45% of our group revenues for next year already definite. That group room revenues for 2024 is pacing flat. Excluding Scottsdale group pace is up about 10% for next year. Second on corporate rates. We expect corporate negotiated rates for 2024 to be in the low to mid-single-digit percentage range. That's based on preliminary feedback from our operators. And third on new supply growth. Across our market tracks. we expect supply growth to be up just over 1% next year, based on our weighted geographic room mix. This is considerably lower than annual supply growth has been over the last few years. While we will not yet be providing 2024 guidance and we'll do so when we report the fourth quarter, we are providing an impact -- or providing an estimate of the impact of disruption from our Scottsdale project. We expect the impact to EBITDA to be about $12 million over the course of next year. By quarter, our estimate is $3 million in the first quarter, $5 million in the second quarter, $3 million in the third quarter, and $1 million in the fourth quarter. By way of reminder, in 2023, the EBITDA impact, due to the Scottsdale renovation, is expected to be about $14 million. By quarter, that was approximately $2 million in the second quarter, $5 million in the third quarter. And we estimate it will be, approximately, $7 million in the fourth quarter, which we also expect to be the peak absolute level of quarterly EBITDA displacement from the renovation. So as we look at next year, we will see the largest year-over-year net renovation impact in the first half. By the time we get to the second half, we will be lapping this year's heavily disruption. Despite less renovation disruption next year, we expect EBITDA from Scottsdale property to be lower than in 2023. This is because leisure and group demand were particularly strong during the first four months of this year, and the property also benefited from the Super Bowl this year. We expect we will undertake some other capital expenditure projects next year that are likely to negatively impact EBITDA, similar to what we've done in any given year. While it's a bit premature to pinpoint that impact as we have typically done, we will do so when we next report. I'd like to conclude by mentioning that the Company continues to be well-positioned with no near-term debt maturities, high-quality portfolio and strong relationships industry participants, including brands managers, lenders and others. We're executing and on track on several potential high-value projects that we expect to continue to drive strong growth in the years ahead. And with that, we'll turn the call back over to Charlie for our Q&A session.
Operator: [Operator Instructions] Our first question comes from Bryan Maher of B. Riley Securities. Bryan, your line is open. Please go ahead.
Bryan Maher: Thank you. And good morning. Just one kind of area I wanted to address. And I don't think you really talked about it much in your prepared comments was, you know, you have a pretty formidable liquidity position between your cash and your availability. And we have a marketplace, where hotels are starting to be handed back to lenders. I suspect we haven't seen the bottom of that, but would welcome some commentary there. Marcel, how are you thinking about allocating your capital between future buybacks you've been pretty aggressive this year and acquisition opportunities over the next 12 to 18 months?
Marcel Verbaas: Yes. Good morning, Brian. To your point, I think we are still in a situation, where we're not quite seeing the depth of acquisition opportunities that we expect to see going forward. So particularly as we're looking at our current stock price, we think that there's a lot of value there, as compared to certainly what we believe the outside value for these properties would be. So, it is really a balancing act, frankly, making sure that we maintain enough liquidity to potentially look at acquisitions when there is more and more interesting opportunities out there. But we certainly see a lot of value in our stock currently. And obviously, the third component of that is we do have a good number of -- well, at this point, really the bulk going into Scottsdale, but any other CapEx needs that we're going to have over the next couple of years as well does make sure that we maintain enough liquidity too for those kind of high-potential projects that we're working on, in addition to the buybacks and maintaining enough dry powder for potential acquisition opportunities in the future.
Bryan Maher: Okay, thank you.
Operator: Thank you. Our next question comes from Bill Crow of Raymond James. Bill, your line is open. Please proceed.
Bill Crow: Great. Good morning.
Marcel Verbaas: Good morning
Bill Crow: Curious if you take out Scottsdale -- good morning. If you take out Scottsdale from the equation, how much does RevPAR have to grow next year in order to have flat EBITDA?
Marcel Verbaas: Well, we're still in the budgeting process. But if you take Scottsdale out of the equation, I think it's probably, I don't know, low to mid-single-digit range to get to flat EBITDA, just based on initial indications on expense pressures on the rest. Yes. I think Barry did obviously get into a little bit of what we're seeing, just with the overall expenses and growth in expenses, and we are certainly at a much closer level to full staffing than where we were in previous quarters. And that's why you're seeing the moderation that we saw in the third quarter too, as compared to the margin contraction that we had in the second quarter of this year. So, the fact that if you think about that we have 40% RevPAR growth in the third quarter of this year, excluding Scottsdale, and our margins contracted by 60 basis points, I think that lead you to kind of that range that Atish is talking about.
Bill Crow: Yes. No, that's helpful. Thank you. And then just a follow-up question. I'm wondering, it seems like middle of the year, maybe it was a little bit earlier than that, we saw this slowdown in the month in the quarter for the quarter booking activity. It just -- things seem to slow on that end. And I'm wondering what you're seeing on the booking window short-term bookings? Thanks.
Atish Shah: Yes, I mean, I think if you think about fourth-quarter pace with short-term bookings are still very much a reality, and I think we're seeing that extend into 2024 as well, where all Atish talked about overall pace for '24 and where we are, it's pretty heavily front-loaded, which we take as a good sign that business is responding quickly. And we're now starting to see properties really push to try to put more business on the books in the last half of 2024, which quite frankly is pretty easy because in most of our large-scale group properties, the first two quarters are in really good shape.
Bill Crow: Okay, thanks. That's it from me.
Operator: Our next question comes from Dori Kesten of Wells Fargo. Dori, your line is open. Please go ahead.
Dori Kesten: Thank you. Thanks, good morning.
Marcel Verbaas: Good morning.
Dori Kesten: With some time now under the new GM sell at the W Nashville, have you seen a notable shift in operations that you were looking forward to put the hotel kind of back on the trajectory to stabilized yields?
Atish Shah: Yes, I think I would say very much so. We had a very, very good third quarter there, in terms of rooms operations, both in terms of RevPAR of the hotel drove in absolute terms, as well as relative to its competitive set. A lot of that managed to flow through the operations, as they've taken a new and fresh clean look at kind of how to optimize the property operationally. And certainly with the amount of group business the hotel has done, which was a big contributor to Q3, as we had expected to be in a much larger component of the business of the hotel as we move forward banking contribution was also good. The piece that's still a work in progress, and not surprising given the amount of time it takes is really looking at the multiple food and beverage outlets in the property, and still going back and really working on kind of new marketing and digital marketing and social media plans for each outlet to really think about how we can maximize performance. And we're working on some things we're not really prepared to talk about yet, but that we think we'll certainly be able to get the property on a better track and certainly more -- help get us closer to bridge the gap that we still have on the food and beverage outlet, I'd say.
Dori Kesten: Okay. I think last quarter you said maybe the hotels about a year behind, where you thought or it might take a year longer to stabilize. Is that still fair?
Marcel Verbaas: Yes, I think that's still fair. And I just would reiterate what Barry said. We obviously are really kind of undertaking this path of kind of revamping some on the F&B operations here. And it's still relatively early days with the new GM in place. I believe you've seen the property yourself and you know what's outstanding facilities that we have there. So we are still very confident in kind of the long-term prospects for the hotel. Clearly, it has taken a little bit longer to stabilize, but it's a good -- remains a great market, a great asset, and we're still very excited about the growth prospects there.
Dori Kesten: Yes, okay. Thank you.
Operator: [Operator Instructions] Our next question comes from David Katz of Jefferies. David, your line is open. Please proceed.
David Katz: Hi. Morning, everyone. Thanks for taking my question. I want to Atish go back to some of your prepared remarks. We appreciate the detail around Scottsdale and how that rolls into 2024. I think you did suggest that there could or would be more projects in 2024. And what I'm trying to envision is whether they could have the same kind of impact to Scottsdale, or we start to get into more of a cash flow pivot or harvest mode?
Atish Shah: Yes, thanks David. Yes, that comment was really meant to indicate that there are, in any given year, some projects that we do. We don't expect to do anything next year of the magnitude of the project in Scottsdale. But while I was giving the displacement number for Scottsdale, I'm not really rolling up any in all displacement for next year, just given that we're still in the budgeting process and capital planning mode. So that's really what that comment was meant to indicate that there, in any given year, we have some other smaller projects. We expect will have those next year as well and we expect those, in fact, to be similar to the projects we have this year. We had a handful of other projects that we were working on, so we likely will have several other projects next year that we'll work on as well.
David Katz: So should I think about those magnitude-wise, as something order of magnitude similar to what you did this year ex-Scottsdale? Is that a fair way to think about the outlook?
Atish Shah: Yes. I think more or less. I mean, yes, that look we still -- we don't have a specific number for those projects and the timing will obviously vary, relative to the projects we did this year, namely Grand Bohemian Orlando and the project at Salt Lake. But I think it's probably a fair guess to do that.
Marcel Verbaas: Yes, it's really -- I'll just add to that, David, that's a really is -- as Atish said just kind of indicating that, there may be some more disruption than essentially the $12 million that you outlined for Scottsdale. If you think about this year's disruption, we've talked about $18 million of total disruption, $14 million of which came from Scottsdale. So it was an additional roughly $4 million that came from some other projects this year. We just not pinpointing exactly what it is for any additional projects because, frankly, we're still going through the whole process of finalizing capital budget for next year and really looking at what we may or may not want to tackle next year. So, as I'm sure you can understand, we'll get into a lot more detail on that as we do our next earnings call at the beginning of next year.
David Katz: Got it. If I could sneak one more quick one, and I'd appreciate it. One of the other public REITs announced a transaction recently, and I'm just wondering whether you think the capital markets landscape is better, worse, or the same, and whether there's a message in that or not?
Marcel Verbaas: You know, from a capital markets perspective, maybe just, I don't know if you want to be more specific about what you're asking about exactly what transaction. Are you talking about company-wide transactions or you're talking about a specific individual asset acquisition?
David Katz: Well, I mean what prompted the question was the Boston asset that Sunstone sold and --
Marcel Verbaas: Oh, got you. Sure.
David Katz: You know whether there is a message in that about receptivity or underwriting conviction and the receptivity of the capital markets? That's what I was getting at.
Marcel Verbaas: Yes. No, Thanks. Thanks for the clarification, David. So from our perspective, I mean there's still -- clearly there are transactions being completed and there is interest in and well-located assets and good assets that are out there. And we know about our transactions that are for R&D and the pipeline that will also be viewed probably pretty constructively, as it relates to evaluations of hotel assets. And I think we all know that interest rates have obviously increased significantly. And I'm sure you've seen some recent refinancings that have been done that were mortgage rates are kind of the high 8% kind of range. But I think people are underwriting debt and then probably underwriting some sort of refinance down the road at hopefully more attractive levels, that gives them confidence in what their long-term returns could be. Now that being said, I think the market is still not overly deep for larger-sized asset acquisitions and both from a number of assets that are out there and number of transactions that are getting completed. You know, we still seeing some more deals done at some kind of smaller-sized transactions than you're seeing the larger sizes. But I do think there is certainly interest in the lodging space. And I think part of that is also being driven by kind of looking past these next six to 12 months. And looking at what's supplied -- the supply picture looks like for the space, which is obviously very, very appealing, compared to where we've been historically. So I think that there is certainly plenty of interest in the hotel space overall. And obviously, from our perspective, we see a pretty good path forward for growth in a portfolio like ours as well.
David Katz: Thank you. I appreciate it.
Operator: Thank you. Our next question comes from Michael Bellisario of Baird. Michael, your line is open. Please go ahead.
Michael Bellisario: Thanks. Good morning, everyone.
Marcel Verbaas: Good morning.
Michael Bellisario: Just a couple of quick clarifications. Just on the -- good morning. First, on the fourth quarter outlook. It sounds like it's all on the top line coming down a little bit. Is that correct? Or is there any incremental expense headwinds that you're also baking into updated full-year guidance?
Atish Shah: No. Mike, I think you got it right. It's really RevPAR-driven. I mean if you look at everything else, how we're thinking about the renovation impact or the expense backdrop that hasn't changed. It's really top line-driven and primarily associated with the two things that I mentioned. The demand, a little bit lighter on weekends, and then BT ramping but ramping up slightly slower.
Michael Bellisario: Got it. Just wanted to clarify that. And then just on the 24 numbers for Scottsdale, just to clarify there, if it's net positive too from renovations. But you expect the year-over-year to be down. Is that sort of at least net three negative sort of like-for-like? Is that all in the first quarter then? Or is that going to be spread out more between 1Q and 2Q?
Atish Shah: Yes, it's mostly first quarter. That's where we saw kind of more of a strength. At least relative to this year, there's a tad bit in the first month of the second quarter, but it's mostly first quarter.
Michael Bellisario: Got it, okay. And then just last one for me, probably for Barry here. I think you mentioned meaningful improvement in group performance, group trends in a few of your key market. Any incremental color you could provide there maybe what's driving that optimism in that upside?
Barry Bloom: Yes, I think in part, it's a shift back to -- like everything else is shifting. It's a little bit of shift back to our more normal group patterns, where we're seeing a much more blended mix of kind of corporate group, association group, and SMERF group, and where that's falling across the year, it's falling in the more traditional places. So you don't have that kind of the big buildup of corporate demand has softened. While that's incredibly lucrative business, it's the shift back to more group of the traditional types you've had, we've talked about before, right? We had just tremendous pent-up demand from corporate, and association typically book further out. So now we're getting that association group the books further out. We're getting the high-quality summer business in a lot of resorts that it is sports group, stance group, things like that. So it's just a more balanced group mix across the year, which is ultimately driving higher and better pace, both in room nights and in rate.
Michael Bellisario: Helpful. Thank you.
Operator: Thank you. Our next question comes from Aryeh Klein of BMO Capital Markets. Aryeh, your line is open. Please go ahead.
Aryeh Klein: Thanks. And good morning. Maybe just on the balance sheet with some higher near-term CapEx and EBITDA next year impacted by renovations, how high are you comfortable with leverage getting to or maybe just where do you think it'll kind of peak out at?
Atish Shah: Yes. Thanks, Aryeh. Well, pre-COVID we had been running the Company from kind this range of low three times to low four times, and that certainly continues to be kind of our target range and the optimal level for us, given the asset profile. That said, there is a lot of recovery potential here over the next couple of years, and we pointed to some of that in prior conversations, as well as the materials we posted. So we do expect there'll be a natural delevering for the Company, as we go forward here over the next couple of years, given the EBITDA growth, particularly from some of the newer investments, as well as the CapEx. As we think about next year, I think as we talked about earlier, it is a little bit of a balance here, given the level of CapEx we have with other uses that we deem attractive, including buybacks. And I think where we are leverage-wise, roughly speaking, is about right. We're north of that low four times higher end that I had mentioned. But again, as we look further out, we think we can comfortably get back into that range. So I would say we're fine kind of in the high-fours, maybe even a little bit higher, just given the recovery potential of the business. So hopefully that gives you a little bit of color into how we're thinking about leverage in the balance sheet in light of what we've got hoping in terms of CapEx and how we're thinking about share repurchases and continuing to be active there.
Aryeh Klein: Appreciate that. And then on the Hyatt and Scottsdale, curious about how you think about maybe starting to hold down or if you would consider that in an effort to accelerate the renovation timelines? And if not, I guess why not?
Marcel Verbaas: Yes. We, obviously, looked at that very extensively to see what we thought the rights approach would be. And if anything that says to do, that would have been in the last -- really kind of the last few months, as opposed to going forward. But even with that, we looked at it very closely to make sure that we felt that we were not hurting ourselves financially in the short term, but also not hurting ourselves with a ramp-up, if you have to open the hotel back up. And the good thing about this hotel is that you've got some pretty distinctive areas of the hotel, from a guestroom perspective, where you can easily do one side of the building and have the other rooms on the other side of the building available. And that's what we're working through right now, as we're doing the guestroom renovation to make sure that we get through the first half of the building first, and then have to second half available really when the pool complex has done at the beginning of next year. So that probably, it might be helpful for me to expand on that a little bit because we've, obviously, talked about this in meetings before, but maybe not quite as granular way as we're -- as I'd like to do now, which is we really have a strategy of making sure that we can attract leisure business, primarily in the first half of next year, but having the pool complex complete, and by getting the guestrooms complete us really here in the fourth quarter and the first quarter of next year, and being able to drive the leisure demand into the hotel first, while the meeting space isn't available yet with the expanded meeting space that we're doing. And then over the summer in the kind of slower periods that naturally occur anyway, really tackling, primarily, the F&B operations. So we have a very well-thought-out process here of how we're staging this whole renovation, and trying to minimize disruption in getting the pieces going as quickly as we can. And we feel very strongly that we're not losing a lot of time, honestly, by not closing down the resort entirely, but that we're actually managing through this the best way possible, maximizing our cash flow during this time frame without really losing any kind of time in completing this process.
Aryeh Klein: Thanks. And if I can squeeze one more in. Just looking at San Jose, you know, it's obviously a challenged market, but I suppose that occupancy dipped a little bit from last year with tech companies returning to office. What you're seeing in that market and how do you think that kind of evolves into 2024?
Atish Shah: Yes, I think one of the challenges there is that while there has been more return tech to office, there have also been significant layoffs. So that has masked a little bit of the opportunity to grow occupancy in that market. It's also true that when people were not in the office, we actually -- and it was one of our original strategies from the beginning of COVID -- was to attract business from people who were visiting the office, meaning employees who were paying their own way to come into the market to be in the office a couple of days a week. And that business has changed a lot. Though as a result of tech layoffs and a result of requirements to be in the office more days is like a lot of people to come back to be more local to the office. We have -- the Q3 of this year had also never had a particularly good set up for us in that hotel on the group side, as we continue to work with the adjacent convention center on driving more business into that center, but we had always known that that be soft. So those are kind of the two or three components that led to a little bit of softening there. And the flip side is we have seen rate improvement there through to the period as well, in part because I mean it's not the ideal outcome, but some of that's because we didn't have some of the lower-rated group business that we ordinarily have low-rated group business we ordinarily have in that hotel during Q3.
Aryeh Klein: I appreciate the color.
Operator: Thank you. Our next question comes from Austin Wurschmidt of KeyBanc Capital Markets. Austin, your line is open. Please go ahead.
Austin Wurschmidt: Thanks. And good morning, everybody. I'm curious if the recent softness in leisure demand that you highlighted kind of changed your outlook for this segment at all heading into 2024? And were there any specific markets or hotels across the portfolio that you'd highlight?
Atish Shah: Yes. Talked a little bit in prepared remarks. I mean we're we continue to see a little -- a little pullback in both occupancy and rate are really the key leisure markets we've talked about for a long time now, which are Napa, Savannah and Key West. Key West, we actually had some lap to renovation last year. So we actually showed growth in Q3 there that was really result of renovation lapping. Again, as I mentioned in the prepared remarks as well, rates are incredibly strong in those markets and we not seen a lot of rate pressure. I think it's simply a matter of -- in each of those markets, if you -- we spent 10 minutes on each of them, which we obviously don't have time for today. Each one of them has their own unique dynamic. Napa certainly has been impacted by the West Coast in tech slowdown, and layoffs, and things like that. But we continue to be pleased with our good performance in Savannah, despite the year-over-year decline. Charleston's held up very well in Q3 as well. And again, Key West has always been a tremendous market for anyone that's invested there. And so, we don't have a particular view in '24 that we see anything remotely close to the clients we've seen this year. And in fact, we certainly hope that the occupancy levels will stabilize back to the more normal levels, albeit at much significantly enhanced rate over 2019.
Marcel Verbaas: And the only thing I'll add to those that, from our perspective, we've been in these leisure markets for a long time. We didn't just jump into these markets in the last couple of years, right? So we're in some really long-term, proven high-demand leisure markets, where we feel very good about the long-term prospects on where those will kind of stabilize and normalize. And, obviously, very important about is in prepared remarks too that we have seen very significant rate growth in those markets, even still compared to 2019. So it doesn't really change our outlook, as it relates to those particular markets. So I think what we're seeing is, is really what we kind of expected, which is a softening of kind of the overall domestic leisure trends. And as Atish pointed out, that is a little bit more significant in the fourth quarter than we initially anticipated, but it's also not quite being made up by business trends and accelerating, as much as we were projecting a quarter ago. So it's really kind of the balance of those two things. But we feel good about where we are in those leisure markets. We feel good about the hotels that we have in those markets. And as you know, and as I've pointed out a number of times, is kind of gradual shift back -- it's not a bad thing for our portfolio because we do have a very good balance between corporate transients group and leisure demands. And particularly the strength that we're continuing to see in group is very consistent with what our expectations are, and really plays into where we think we're going to benefit over the next couple of years, which has -- we have assets that are more heavily dependent on that type of business. We obviously did the additional ballroom at Grand Cypress, where we're expecting good growth over what we saw in '17, '18 and '19. Certainly what we're doing in Scottsdale plays into that, where we want to make sure that it's extremely attractive for all three demand segments, and where that increased group business that we're going after there is going to be very important for the long-term success of the property. And overall trends in these demand segments, we're not surprised by what we're seeing there.
Austin Wurschmidt: Yes. That's a good segue into my next question. I guess, with respect to the corporate segment, you referenced the 16% delta in occupancy versus '19 levels. I guess, how does that compare to the beginning of this year? And any specific markets where that corporate demand that has underperformed you referenced into the fourth quarter versus initial expectations or budgets like is it -- any specific hotels or markets, or just broad-based?
Marcel Verbaas: Well, I think part of it, it's twofold from my perspective, and Barry can jump in as well. But we -- Orlando, for example is a component of that. And Orlando was a -- Grand Bohemian Orlando, which is really a business transient hotel, for the most part, and has some group element to it. Not really very specific -- very significantly driven by leisure. And that's renovation being extended out a little bit. Certainly have a bit of an impact in the beginning of the fourth quarter as well. So, some of our more business-oriented hotels are some of the ones that have undergone some of the renovations this year too. We have seen an improvement in corporate transient, as the year has progressed, where you're still seeing -- where you need to see additional growth is really on the Monday nights and the Thursday nights. Tuesday and Wednesday nights are performing very well. Where you're really seeing that delta in the occupancies, it's very much driven by what you're seeing on Monday and Thursday nights. And that is still driven by return to office, more travel by -- especially the larger corporate accounts that needs to occur on those nights of the week that we haven't quite seen yet.
Austin Wurschmidt: That's helpful. That's all from me. Thank you.
Operator: Thank you. Our final question today comes from Luis Ricardo Chinchilla of Deutsche Bank. Luis, your line is open. Please go ahead.
Luis Ricardo Chinchilla: Hi, guys. Thank you so much for taking my question. I was wondering if you could comment on your refinancing strategy, acknowledging that you guys have, you know, a pretty good rate, it's fixed. And that, effectively, you have plenty of liquidity. So any insight on what you are thinking and perhaps if you would be more inclined to be more conservative in leverage? So, although I know this was already asked, but if you could provide like a range would you feel comfortable in deteriorating fundamental environment?
Atish Shah: Thanks for the question. So, on the first part of the question with regard to refinancings or financings, our next maturity is on August 25. So, it's quite some time away. I think there are, obviously, potentially many avenues we could explore for that debt maturity. And a lot's going to depend on sort of pricing what's available and attractive. Certainly, the high-yield market is one that we could continue to access, and we've got a good track record in that space. But there are other financing tools we could utilize as well. So just a little bit too early to really have a specific strategy laid out, but we do feel particularly confident in the avenues available to the Company. And we continue to stay close to the opportunities on that side. So as we get a little bit closer, I think, we continue to monitor. And we'll make some decisions, with regard to that, but still almost a couple years away. And then to the second part of your question really around how we're thinking about the balance sheet overall and leverage level, I would say, as I pointed out earlier, that range of leverage that we had talked about, the low three to low four times, continues to be appropriate for us. And I do think specifically to your question, look, as we look at the business over the next several years, we do see a lot of upside. And we've articulated some of that, in terms of the EBITDA levels this business could get to. So I think that really is the focus. When you think about leverage level for the Company and why there may be some near-term headwinds -- and we haven't obviously provided guidance for next year yet -- we're really looking big picture and longer term at where do we want to leverage level for the Company to be, relative to the growth prospects and stabilize EBITDA we're expecting from the projects and investments we've made. So I think -- I would just keep that in mind, as you think about where we want to take the balance sheet, and how we're thinking about the right level of debt for the Company, relative to the long-term earnings potential of the Company.
Luis Ricardo Chinchilla: Thank you so much for your answer.
Operator: Thank you. We have no further questions registered at this point. So I'll turn the call back over to our Chair and CEO, Marcel Verbaas, for any closing remarks.
Marcel Verbaas: Thank you, Charlie. Thanks for joining us this morning. We'll see many of you over the next few weeks. Those of you we won't see, wish you a good for rest of the year, good holiday season. And we look forward to connecting with everyone at the beginning of next year again.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect your lines.